Operator: Greetings and welcome to the CalAmp fiscal 2015 second quarter results conference call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator Instructions). As a reminder, this conference is being recorded. I would now like to turn the conference over to Mr. Lasse Glassen of Addo Communications. Thank you, Mr. Glassen. You may now begin.
Lasse Glassen - Investor Relations, Addo Communications: Thank you, operator. Good afternoon and welcome to CalAmp's fiscal 2015 second quarter results conference call. With us today are CalAmp's President and Chief Executive Officer, Michael Burdiek and Chief Financial Officer, Rick Vitelle. Before I turn the call over to management, please remember that our prepared remarks and responses to questions may contain forward-looking statements. Words such as may, will, expect, intend, plan, believe, could, estimate, judgment, targeting, should, anticipate, goal and variations of these words and similar expressions are intended to identify forward-looking statements. Actual results could differ materially from those implied by such forward-looking statements due to a variety of factors including product demand, competitive pressures and pricing declines in the company's wireless datacom and satellite segments, delays in the expected ramp up in product shipments to a key OEM customer in the heavy equipment industry, the timing of customer approvals of new product designs, intellectual property infringement claims, interruption or failure of our internet-based systems used to wirelessly configure and communicate with tracking and monitoring devices that we sell, and other risks and uncertainties that are described in the company's Annual Report on Form 10-K for fiscal 2014 as filed on April 24, 2014 with the Securities and Exchange Commission. Although the company believes that the expectations reflected in such forward-looking statements are based upon reasonable assumptions, it can give no assurance that its expectations will be attained. The company undertakes no obligation to update any forward-looking statement, whether as a result of new information, future events or otherwise. Michael Burdiek will begin today's call with a review of the company's financial and operational highlights. Rick Vitelle will then provide additional details about the company's financial results and Mike will then wrap up with the company's business outlook and guidance for fiscal 2015 third quarter and full year. This will be followed by a question-and-answer session. With that, it's now my pleasure to turn the call over to CalAmp's President and CEO, Michael Burdiek.
Michael Burdiek: Thank you, Lasse. Our solid performance in the second quarter was driven by ongoing strengthen in our wireless datacom segment, which generated record revenues and led to an 11% year-over-year growth in non-GAAP earnings. During the quarter, we experienced strong growth in energy revenues with renewed shipments to our solar power customer, coupled with robust demand for our mobile resource management or MRM products from fleet management and asset tracking customers. In our satellite segment, despite the anticipated sequential quarter drop in revenues, a favorable product mix drove higher gross margins and a strong contribution to our overall operating cash flow and profitability. Looking at our second quarter results in more detail. Consolidated revenue was $59.2 million, up slightly year over year with wireless datacom revenue up 6% to $50.2 million, an all-time record for a single quarter. Satellite revenue in the quarter was $9 million, down 22% year-over-year, and as I mentioned earlier, in line with our expectations. At the bottom line, we achieved GAAP basis earnings of $0.09 per diluted share in the second quarter with non-GAAP earnings of $0.21 per diluted share. Strong cash flow from operating activities of $8.5 million helped push our cash, cash equivalents and marketable securities balance to $36.8 million with zero bank debt. Now I would like to review our operational highlights for the second quarter. Within the wireless datacom segment, demand for MRM products from fleet management customers rebounded strongly in the second quarter after a slow winter season. In addition, we saw some nice uptick in demand for asset tracking products both domestically and with key customers outside the U.S. These gains were offset by tapered demand for our insurance telematics products in the second quarter, as our larger insurance customers refined their technology deployments in their business processes. We believe, for the most part, the customer onboarding challenges which slowed demand in Q2 have been addressed and that hardware demand will pick up again in Q3 and through the balance of the year for the existing programs as well as through expanding basis of business with customers from all around the world. We remain highly confident that UBI can be a major growth driver for the company, in particular, as we look at our various options to add value beyond hardware devices. To that point, we are refining our range what we believe are viable strategies to drive growth in this nascent market. More than ever we believe that we are extraordinarily well positioned to play a larger, more direct role in the market evolution by leveraging our unique combination of hardware, software and service assets as well as our global channels and partnerships. We hope to share additional details on our plans in the coming quarters. In other developments, during the second quarter we announced an enhanced supply agreement with Masternaut, Europe's leading MRM services company. Under the agreement, CalAmp will supply Masternaut with hardware devices to enable tracking and monitoring of mobile assets, heavy equipment and industrial machinery with Masternaut's Connect telematics software platform, its next-generation asset tracking and vehicle management solution. Overall, our MRM products business has a very healthy and growing pipeline of opportunities both in the U.S. and in key international markets that we expect will help contribute to our growth trajectory in the second half of the year. In our wireless networks business, energy revenues rebounded sharply in the second quarter, primarily due to our solar power OEM customer. We anticipate solid contributions from this customer throughout the remainder of fiscal 2015, albeit at a somewhat lower rate than the exceptional level we experienced in the second quarter. In the heavy equipment market, I am pleased to announce that in September, we began volume shipments of our specialized telematics products to Caterpillar and are now in the process of ramping up production. Based on commitments received from Caterpillar, we now expect revenue from this customer during the second half of our current fiscal year will exceed $10 million and be ahead of our earlier expectations. We are very optimistic that this and other opportunities within the heavy equipment industry could become significant growth driver for CalAmp over the coming quarters and years. On the international front, we saw steady revenue growth in Latin America and South Africa during the second quarter as key customers in these regions drove, what we believe, will be sustain demand for our fleet management and stolen vehicle recovery products. International revenues climbed to 23.2% of consolidated revenues in the second quarter, up from 21.6% in the first quarter. Recurring revenues from our fleet management, automotive aftermarket, vehicle finance applications and communication services comprised 16% of consolidated revenue for our second quarter. At the end of the latest quarter, we had approximately 485,000 unique software application subscribers, up from approximately 475,000 subscribers at the end of the previous quarter. In addition to subscriber growth from our core applications, during the second quarter we launched Platform-as-a-Service initiatives with new key enterprise customers supplying bundled hardware, network connectivity and cloud-based subscriber management services, which we expect will begin to contribute to recurring revenues in the coming quarters. In addition to our focus on near term execution, we continue to invest significant resources in new strategic initiatives that we believe will bolster our competitive position, expand gross margins and drive sustained revenue and earnings growth over the coming years. One such key initiative is our new Android-based mobile data terminal supported by CalAmp's private Appstore. In the latest quarter, we began commercial shipments of our MDT-7 data terminal for mobile workforce management applications to some of our key fleet management customers. We are seeing broad demand for the MDT-7 and are hopeful that this new product line will drive incremental product demand over the coming quarters. More importantly, we are optimistic that the launch of our Appstore and embedded core applications will enable us to layer on additional value elements resulting in higher margins than our traditional fleet management hardware products. Moving on to our satellite segment. Revenue in the second quarter was $9 million, which was within our expected range but lower on both a year-over-year and sequential quarter basis. Importantly, satellite gross margin in the second quarter was 27.2% reflecting an improvement of 7.5 points year-over-year attributable to a product mix favoring higher margin home networking products. Going forward, we expect satellite segment gross margins to revert to more normal levels driven by a more balanced product mix. With that, I will now turn the call over to Rick Vitelle, our Chief Financial Officer for a closer look at our second quarter financial results.
Rick Vitelle: Thank you, Michael. I will provide a summary of our gross profit performance, income tax position, working capital management and cash flow results for the fiscal 2015 second quarter. Consolidated gross profit for the fiscal 2015 second quarter was $20.5 million, an increase of $0.7 million over the same quarter last year, primarily as a result of higher revenue in the wireless datacom segment. Consolidated gross margin was almost one percentage point higher at 34.6% in the latest quarter, compared to 33.7% in the second quarter last year. Looking more closely at gross profit performance by reporting segment, wireless datacom gross profit was $18.0 million in the second quarter with a gross margin of 35.9%. Year-over-year wireless datacom gross profit was up by $0.5 million while gross margin declined by 1.3 points, primarily due to a revenue mix shift favoring a larger proportion of MRM products that carry lower gross margins. On a sequential quarter basis, wireless datacom gross margin in the second quarter was down slightly compared to the previous quarter. Our satellite business had a gross profit of $2.5 million in the second quarter with a gross margin of 27.2%. This compares to gross profit of $2.3 million and a gross margin of 19.7% in the second quarter of last year. The year-over-year gross margin percentage improvement in our satellite business is primarily due to a shift in product mix in the latest quarter that reflected a greater proportion of the higher margin home networking product, as Michael noted during his comments. GAAP basis net income for the fiscal 2015 second quarter was $3.3 million or $0.09 per diluted share, compared to net income of $2.8 million or $0.08 per diluted share in the second quarter of last year. While the company's GAAP basis effective tax rate approximates the combined U.S. federal and state statutory tax rate, the company's pretax income is still largely sheltered from taxation by net operating loss carryforwards and research and development tax credit carryforwards and is expected to remain so for the next several years. Our non-GAAP net income for the fiscal 2015 second quarter was $7.5 million or $0.21 per diluted share, compared to non-GAAP net income of $6.8 million or $0.19 per diluted share for the same quarter last year. Non-GAAP earnings excludes the impact of intangible asset amortization, stock-based compensation expense and acquisition related expenses and includes an income tax provision for cash taxes paid or payable for the period. For a reconciliation of the GAAP And non-GAAP financial results, please see our second quarter earnings press release that was issued today which is available on our website. Now moving onto the balance sheet. At the end of the fiscal 2015 second quarter, the company had total cash, cash equivalents and marketable securities of $36.8 million with no bank debt outstanding. The consolidated accounts receivable balance was $38.3 million at the end of the second quarter. This represents an average collection period of 51 days compared to the receivables collection period of 46 days at the end of the preceding quarter. Our total inventory at the end of the second quarter was $20.2 million, an increase of $5.2 million compared to the previous quarter representing annualized inventory turns of approximately eight times. The increase in inventories was primarily to support higher expected sales in the second half of the year. We anticipate that our inventory balance will trend down moderately in the second half of this fiscal year. With that, I will now turn the call back over to Michael for our guidance and some final comments.
Michael Burdiek: Thank you, Rick. Now let's turn to our outlook, including our financial guidance for the third quarter and year as a whole. In the fiscal 2015 third quarter, we expect consolidated revenue in the range of $61 million to $65 million. We anticipate wireless datacom revenue in the third quarter will be materially higher on a sequential quarter basis while satellite revenue in the third quarter is expected to be down slightly. At the bottom line, we expect third quarter GAAP basis net income in the range of $0.08 to $0.12 per diluted share and non-GAAP net income in the range of $0.21 to $0.25 per diluted share. For fiscal 2015 as a whole, we expect consolidated revenues to gain momentum as the year progresses. We anticipate full-year revenues in the range of $250 million to $255 million and non-GAAP net income in the range of $0.88 to $0.94 per diluted share. We are pleased with our near term growth prospects and anticipate the continued execution and investments in key strategic initiatives and geographic expansion will drive growth into fiscal 2016 and beyond. In closing I like to recap some key points. First, our MRM products business is showing renewed strength and I am pleased with the growth we are experiencing in several of our core application. Second, our international market expansion initiatives are bearing fruit and we believe that we are building a sustainable base of business and highly leverageable channels to help drive incremental growth. Third, we are encouraged by our growing pipeline of Software-as-a-Service and Platform-as-a-Service opportunities as well as the traction we are experiencing for our solutions with municipal and energy enterprise customers. And lastly, emerging opportunities in the heavy equipment sector is expected to be strong growth catalysts in the second half of fiscal 2015 and beyond. In closing, we firmly believe our unique hardware, software and service solutions, supported by established channel partnerships with global reach give us the leverage to win a disproportionate share of opportunities and drive broader adoption of emerging M2M applications. We are working to take CalAmp to new heights by continuing to focus on execution in the near-term, while strategically positioning the company to capitalize on very favorable market growth trends over the long-term. That concludes our prepared remarks. Thank you for your attention and at this time, I would like to open up the call to questions. Operator?
Operator: (Operator Instructions). Our first question is from Mike Walkley of Canaccord Genuity. Please go ahead.
Mike Walkley - Canaccord Genuity: Hi, great. Thank you. Nice to see a solid quarter and the better second half outlook. Michael, can we just dive into that a little bit? In addition to Caterpillar, what are some of the key drivers for the second half outlook that particularly give you the confidence into that February quarter for another sequential growth off this third quarter guidance?
Michael Burdiek: Thanks, Mike. Well, actually we are expecting growth pretty much across the entire core. As we talked about in the prepared remarks, we saw a nice rebound in some of the core applications for our MRM products business. Energy was quite strong in Q2. We expect that trend to be basically intact for the balance of year. Of course, overall, we expect to see nice growth and a nice solid ramp in the Caterpillar business in the second half of the year. Now obviously we have got some increased confidence that that's going to be realizable given the fact that we referred to the business being, by our estimates, north of $10 million in the second half.
Mike Walkley - Canaccord Genuity: Okay. Thanks, and then just with the moving parts in the different businesses implied your guidance as we think of maybe stable gross margins with satellite coming down from the favorable mix and then maybe slight uplift on better volumes on the MRM side?
Michael Burdiek: I think that's a reasonable assessment. As we pointed out in the remarks, we expect the satellite margins to probably soften up little bit as we revert to more than normal product mix there. That being said, we actually think there is some opportunity for us to see some expansion in gross margin of our wireless datacom business as we move through the next couple of quarters, probably a little more pronounced in Q4 than in Q3.
Mike Walkley - Canaccord Genuity: Okay, good. Thanks, and just one last question and I will pass it on. I just wanted to dig into a little bit of your comments on the insurance telematics sales. Can you share with us maybe what they came in for the quarter? And with improving in the back half of the year, was that back to a maybe $4 million run rate for the back half of the year? Thank you.
Michael Burdiek: In Q2, it was approximately $2 million. As we pointed out, some of the challenges we faced with a couple of the existing programs in Q2, I think mostly business process and customer onboarding issues have been overcome. So we expect to see the business start to ramp up again in Q3, probably be a bit higher in Q4 than Q3, but nominally speaking, I think our outlook is still in the neighborhood of growth year-over-year of about 2X. so in the $15 million $16 million range for the full year.
Mike Walkley - Canaccord Genuity: That's very helpful. Thank you.
Michael Burdiek: You are welcome.
Operator: Thank you. The next question is from Howard Smith of First Analysis. Please go ahead.
Howard Smith - First Analysis: Yes. Good afternoon. Congratulations on what sounds like a strong outlook. Two questions from me regarding that outlook. The first on MRM, particularly kind of in fleet or just generally in MRM, is the strength coming from existing volumes or existing customers just increasing their volumes? Or is it a share shift within those customers where you are incrementally getting more volume? Or people who previously had captive and are now outsourcing for the first time? I am sure it's all, but maybe you can give the relative importance of those three.
Michael Burdiek: Sure. Can I pick all of the above?
Howard Smith - First Analysis: Yes. I mean, okay.
Michael Burdiek: Obviously the core business was strong as we alluded to in the remarks. So domestically, I think, from a share perspective, probably maintain share with growth amongst our existing customer base, but a lot of the growth year-over-year came from penetrating international customer accounts and in some cases, you term that market share gains by basically displacing internal developments.
Howard Smith - First Analysis: Okay. That's helpful color. And on Caterpillar, your heavy equipment OEM, if it's going to be more than $10 million in the second half, so you have raised your expectations there, does that alter the run rate and the annual expectation? Or is it just a matter of the pace of the ramp in the second half?
Michael Burdiek: That's a great question. And I am not sure we can answer that question with a great deal of certainty. We definitely see the program coming on stronger than we anticipated. And I think qualitatively, it's our belief that going in the next year the program is probably going to be a little bit bigger than we initially expected. So obviously it has to play out here over the next couple of quarters and we have to see where we settle in, in terms of the typical quarterly run rate. And we are nowhere close to being at that state yet obviously.
Howard Smith - First Analysis: All right. Well, it sounds encouraging. I will let the next in queue come in. Thanks.
Michael Burdiek: Thanks.
Operator: Thank you. The next question is from Mike Crawford of B. Riley. Please go ahead.
Mike Crawford - B. Riley: Thank you. Michael, just to extend that on Caterpillar, your expectations now for a unit attach rate, is that something where you think one of your cellular or satellite routers will be attached to maybe two-thirds of all new pieces of heavy equipment from Caterpillar or is it too hard to say?
Michael Burdiek: It's a little bit difficult to say at this point, but I think our expectation is that the attach rates are going to be pretty high right out of the gate. We have talked historically about roughly 150,000 units a year addressable market. It's our view that we can get closer to very, very high rates of penetration vis-à-vis that addressable market earlier than we originally expected.
Mike Crawford - B. Riley: Okay. Thank you. Regarding some of the international MRM business, the fleet tracking asset management, who would be some of your top customers, maybe Sascar? Would that be one of the top ones?
Michael Burdiek: Well, as we have talked about in the past, our strategy has been to try to penetrate some of these larger developed international markets by first attacking some of the larger players in each of those regions. Obviously Sascar is a big player in Brazil. So they have been obviously a key focus area for us from an account development standpoint. We have talked about Masternaut in the U.K. and Europe. Obviously we have made some progress there. And in Q2, we made some excellent progress with one of the larger players in South Africa.
Mike Crawford - B. Riley: Okay, great. And then, for the fleet management product, your new tablets, is this something where you are going to be able to offer your own Software-as-a-Service on this platform? Or are you expecting other people to be developing apps that are then sold through your store? How is that going to play out?
Michael Burdiek: Actually, both. Initially, we would expect to be bringing in or bringing through our Appstore some third-party content providers. But we think that there is opportunities for us to also essentially license SaaS applications through our Appstore that would run and operate on the MDT tablet platform.
Mike Crawford - B. Riley: Okay. Thank you, and last question just relates to your new architecture overall. I think you have taken maybe some of the best parts of COLT and some of the best parts of Wireless Matrix and now is that all blending into one common platform now?
Michael Burdiek: More or less, yes. And we talked about a couple of Platform-as-a-Service opportunities getting off the ground in Q2. Both of those opportunities were going to be operating on what we term the new CalAmp Connect platform. So for those newer greenfield opportunities, we will be launching them on the new integrated platform.
Mike Crawford - B. Riley: Great. Thank you very much.
Michael Burdiek: You are welcome.
Operator: Thank you. The next question is from Tim Quillen of Stephens. Please go ahead.
Tim Quillen - Stephens: Hi, good afternoon. Michael, on the previous earnings call three months ago, when discussing the earnings outlook for the year, you had suggested from a conservative to an optimistic view would range from something like 20% to 30% year-over-year growth and I think that the guidance now is 15% to 22% and obviously that bracket is up where analyst estimates already were. So that was good, but what is the change that you have seen to go from that 20% to 30% level down to a 15% to 22% level?
Michael Burdiek: Well, obviously our visibility has increased as we worked our way through the year. We don't see the satellite business getting back to that sort of $10 million a quarter run rate. It's going to be hovering between $8 million and $9 million likely this quarter and next as well, probably closer to $8 million than $9 million. So that's obviously been a very, very solid profit contributor at a time margin profile was realized over the last couple of quarters. So there has been no upside opportunity appear on the scene from satellite's perspective. And obviously there's still a little bit of uncertainty as to exactly how strong Cat will be in the second half of the year. Although it's going to be stronger than we earlier projected in the first couple of quarters this year. And there's still some potential upside but I think, for us, as we sit here today, I think where we centered guidance for the full year is an appropriate sort of setting of expectations.
Tim Quillen - Stephens: Okay, and on Caterpillar, I think last quarter, when you were talking about a $10 million type contribution, you suggested that two-thirds or roughly two-thirds would come in 4Q and one-third in 3Q. Is your third quarter outlook the same right now, but there is some upside to the fourth quarter outlook? Is that the right way to think about it?
Michael Burdiek: I know on the last call we talked about Q3 being approximately 30% to 40% of our full year outlook and the last quarter being the balance of that, 60% to 70%. I think that outlook is still reasonable as a percentage of revenue in the second half from Caterpillar.
Tim Quillen - Stephens: So same percentages, but a bigger revenue number, perhaps?
Michael Burdiek: Precisely.
Tim Quillen - Stephens: Okay, and then in terms of other heavy equipment customers. I know the sales cycles would be relatively long, but what can you tell us about the pipeline of other similar contracts? Especially now that you are starting to ship Caterpillar and potential customers can see exactly what you are working on?
Michael Burdiek: Sure. Well, I am not sure any of the other opportunities would be similar to Caterpillar, given Caterpillar's size. But we certainly have a healthy pipeline of opportunities including some developing opportunities in some heavy equipment sub niches. And in fact, one of our Platform-as-a-Service opportunity is related to one of those construction equipment sub niches.
Tim Quillen - Stephens: Okay, and I wasn't quite sure I understood, and I think the way you put it was maybe some onboarding issues that you have had in insurance telematics or usage-based insurance? Or what have been the hiccups that you have seen in there?
Michael Burdiek: Well, I mean these programs are obviously relying on a great deal of brand new cutting edge technology. And this technology is being targeted at, in many cases, consumers. In fact, in most cases for our existing programs, consumers. The RAC maybe being a little bit of an exception to that. And these products are being distributed to consumers and often times they are self installed and they are often times installed in a random set of vehicles which the insurance carrier has some visibility on but the exact vehicle make and model are often times unknowns. And so just aligning the business processes and doing a better job of vetting out the exact vehicle types that these devices are going to be installed into really business process and customer onboarding challenges. And we think in general those onboarding processes are maturing very, very rapidly and so we are optimistic that things will begin to pick up again here in the second half of the year.
Tim Quillen - Stephens: Okay, and in that on-boarding process, has there been anything to suggest that you have lost traction within your specific channel relationships? In other words, has there been any switches to competitors during this onboarding process or just a matter of ramping?
Michael Burdiek: No. We are confident that the customer opportunity is still very much real.
Tim Quillen - Stephens: Right, perfect, and then, just lastly. Could you discuss how you plan to ramp up Masternaut? And what that opportunity might look like as you go a year or two down the road? Thank you.
Michael Burdiek: Well, we have been working with Masternaut for the better part of two years. And so during that timeframe, we have been generally on a ramp. What's interesting about Masternaut's business, it's involving a little bit. Earlier on the relationship was essentially an exclusive fleet focused relationship. But Masternaut's dabbled in the UBI market a little bit in Continental Europe and we have been supporting them on some of their pilot programs. So the nature of that relationship is evolving a little bit because of the different sort of sub vertical applications they are looking to address with their range of software solutions.
Tim Quillen - Stephens: Great. Thank you very much.
Michael Burdiek: You are welcome.
Operator: Thank you. The next question is from Jonathan Ho of William Blair. Please go ahead.
Jonathan Ho - William Blair: Hi, guys. Good afternoon. Just wanted to start out with the new platform initiatives that you guys talked about and maybe where you see the turnkey initiatives getting traction, maybe some of the customer reaction that you are seeing out of that platform and what this incrementally could mean as an opportunity for the company?
Michael Burdiek: Well, from an opportunity perspective, it's going to be long lived. The types of opportunities we are getting involved in are generally greenfield in nature, although we believe large over the lifecycle. We mentioned one of the applications being a construction equipment sub niche. Another application is an automotive aftermarket opportunity. But we are beginning to talk to some very large Tier 1 global IT service companies who view the M2M or IOT market as highly attractive from a secular standpoint. And obviously as a partner, we can bring a lot of tools to their toolkit and provide a lot of the connectivity solutions on a turnkey basis as they look to rollout various solutions to large enterprise customers around the world. And so we are building those types of channel relationships and technology partnerships which we think will be growth drivers into the future. But really what's going to drive the business for us over the next several quarters is obviously the core applications, both product and service, as well as the opportunities developing with Caterpillar and other opportunities in the heavy equipment market.
Jonathan Ho - William Blair: Got it. And then just regarding the subscriber growth that you saw quarter-over-quarter, can you just maybe talk a little bit about where that subscriber growth is coming from? Are there any sort of specific verticals? Or is it sort of the same historical verticals that you have seen in the past?
Michael Burdiek: Historical. Most of the quarter-over-quarter subscriber growth was in the vehicle finance area.
Jonathan Ho - William Blair: Got it. And then, just in terms of the Masternaut opportunity, I know you said earlier that you have been working on this for over two years, but what does the incremental opportunity that you referenced this quarter add? Or how large of an opportunity could this be in terms of the relationship?
Michael Burdiek: I don't think it's a deflection point. I think it's just an emphasis on how important the Masternaut relationship is and how prominent Masternaut is in the U.K. and across Europe as a major fleet service provider.
Jonathan Ho - William Blair: Got it. Thank you.
Michael Burdiek: You are welcome.
Operator: Thank you. The next question is from Mike Latimore of Northland Capital. Please go ahead.
Mike Latimore - Northland Capital: Great, thanks. Yes, just on the UBI topic, I guess if you see a rebound a little bit in the second half, do you expect it to come from the three main customers you have there? Or is that tied to a new customer or two ramping up?
Michael Burdiek: I think that the rebound would come from the existing programs. Although we see some dribbles of revenue coming into the mix through the balance of the year for some newer opportunities, probably coming through existing channels.
Mike Latimore - Northland Capital: And I think you noted some additional apps you might bring to bear on the UBI market. I assume you are not counting on those for being much of a second half contributor though?
Michael Burdiek: No.
Mike Latimore - Northland Capital: No. Okay.
Michael Burdiek: It would be on the upside.
Mike Latimore - Northland Capital: Yes. Okay, and then the PTC or railroad vertical contributing much in the quarter? What do you see in the second half for that?
Michael Burdiek: It did contribute in the second quarter. When we gave our guidance last quarter, we suggested it was going to be down materially quarter-to-quarter. It was down quite a bit, but probably a little bit better than we expected. So through the first two quarters of this year, we were almost $4 million total PTC related revenue. So almost to what we reached as revenue level for the full year, last year. We do have some additional backlog and we do have a pipeline of incremental opportunities. So I think we are pretty confident that we are going to do better this year than last.
Mike Latimore - Northland Capital: And then on the domestic fleet management segment. Obviously, we had a horrible winter last winter, but do you think we will see seasonality in that segment. Is that normal pattern now, where winters are a little softer than other months?
Michael Burdiek: Hard to say. I mean, the first seasonal effect we saw in the fleet space was this past winter. So one data point does not suggest -- obviously it's hard to extrapolate from a single data point. But to give you some numbers for reference. So this past quarter, Q2 was the second highest level of fleet product sales we have had in history.
Mike Latimore - Northland Capital: Got it, and then just housekeeping. How many total employees do you guys have now?
Michael Burdiek: Approximately 500.
Mike Latimore - Northland Capital: All right. Thanks.
Michael Burdiek: You are welcome.
Operator: Thank you. The next question is from Rajesh Ghai of Macquarie. Please go ahead.
Rajesh Ghai - Macquarie: Good afternoon. Thanks for taking the question. I wanted to ask a variation of the question that I had asked last time around gross margins in the Caterpillar business, given that it seems to be a question top of the mind of investors looking at the stock right now. How confident are you of keeping margins for Caterpillar at or above the current corporate average?
Michael Burdiek: I think our view is that early on as we mature our production processes and prime our supply chain, I think our at the our outlook is that Caterpillar margins will be in line, more or less, with consolidated gross margin. But as things mature and we find efficiencies, I think it could be accretive to consolidated gross margin.
Rajesh Ghai - Macquarie: And how long would that take? Could that happen this year? Or it could take a year or two?
Michael Burdiek: No. I don't think it will take that long. I think a couple of quarters.
Rajesh Ghai - Macquarie: Great, and as far as the international MRM business concern, you mentioned some strength in Latin America and South Africa. How sustainable is that strength going into the second half of the year? How good do you think is the visibility? And do you think that at least stays at the current levels through the rest of the year?
Michael Burdiek: Well, we used the word sustainable in our prepared remarks and we think that the base of business we are building through the key accounts and customer wins in Brazil and South Africa is sustainable business.
Rajesh Ghai - Macquarie: Okay, great.
Michael Burdiek: But obviously, with any account, you can see variations quarter-to-quarter based on their sellthrough and their demand. But we think we are building a great account base. We think we have got a great team and great channels in place to really see a sustained level of business and growing in some of these developing regions around the world.
Rajesh Ghai - Macquarie: Great, and my last question is around the Caterpillar opportunity. You mentioned that it looks like a larger opportunity than what you had initially expected for fiscal 2016. What is driving that expansion? Is Caterpillar putting your devices in more equipments? Or is it the retrofit opportunity of equipment that's already in the field?
Michael Burdiek: Well, really both. Obviously we are receiving more formal forecast from Caterpillar. Obviously that's been confidence building. And as it relates to the aftermarket opportunity, that appears to be a little bit larger than we originally expected and potentially happening earlier on in the engagement than we anticipated.
Rajesh Ghai - Macquarie: All right, great. Thank you.
Michael Burdiek: You are welcome.
Operator: Thank you. The next question is from Greg Burns with Sidoti & Company. Please go ahead.
Greg Burns - Sidoti & Company: Good afternoon. Just a question on the subscription portion of the business. You continue to add subscribers at a pretty decent clip, but the subscription revenue is roughly flat or maybe down slightly year-over-year. When do you start seeing the subscriber growth translate into more growth of subscription revenue?
Michael Burdiek: That's a good question. As I mentioned earlier, the vast majority of the incremental subscriber growth that we saw quarter-to-quarter is in the vehicle finance area. That's a very low ASP application, and in fact ASPs have declined in that market substantially over the last three or four years. And so that's a bit of a headwind in terms of driving subscription growth. We did see sequential quarter growth in SaaS revenue as well as in overall software and service revenue quarter-to-quarter. So we are seeing some growth. Now, the growth we are seeing in the subscription area on the software application front is being offset somewhat by the churn out of satellite data subscriptions, which was the business that came to us through the Wireless Matrix acquisition. It's just a network resell business opportunity, and we expect to continue to see subscriber churn there over time, which presents a little bit of a headwind in terms of really seeing an inflection point in our overall subscription revenue growth.
Greg Burns - Sidoti & Company: Okay. Thanks, and then in terms of the CalAmp Connect, is that platform device agnostic? And, if not, is that a direction the platform might evolve in, in the future?
Michael Burdiek: Well, to a great extent, it's both device agnostic and application agnostic. Obviously we have a very, very broad portfolio of hardware devices. So that's where the device agnostic perspective comes in to play. We want to make sure the platform supports anything from a UBI application all the way up to a high end fleet application. Obviously the interface at the device layer is going to be quite different between those types of applications. We are very agnostic on the application side because not only do we have three existing applications that we support today, we see that evolving dramatically over time and in particular, as we start to introduce content partnerships through the CalAmp Appstore.
Greg Burns - Sidoti & Company: Okay. Thank you.
Michael Burdiek: We want to make sure we have appropriate levels of flexibility on both sides, and obviously the necessary scalability and reliability and security built into the platform.
Greg Burns - Sidoti & Company: Okay. So device agnostic across the CalAmp portfolio, but like third-party devices don't plug into CalAmp Connect?
Michael Burdiek: We could. It could.
Greg Burns - Sidoti & Company: Okay.
Michael Burdiek: There is no reason why it wouldn't.
Greg Burns - Sidoti & Company: Okay. Thank you.
Operator: Thank you. The next question is from Mike Walkley of Canaccord. Please go ahead.
Mike Walkley - Canaccord Genuity: Okay, thanks. Just a quick follow-up housekeeping question. Can you give us the percent mix of wireless datacom that was the MRM business?
Michael Burdiek: It was approximately 60% MRM product versus the balance wireless network.
Mike Walkley - Canaccord Genuity: Great. Thanks, and then, just on public safety. How is that business and how does that look for the outlook?
Michael Burdiek: On the mobile workforce management front, obviously that business came through cases through the RSI acquisition. The pipeline is very healthy. As it relates to product sales that leveraged FirstNet infrastructure, it's been pretty flat really for this entire year at a very, obviously, limited low-level run rate, but the pipeline is improving and interestingly enough, we are starting to see pipeline of opportunities in Europe as well as domestically. So I would say, the funnel is wider from a geographic perspective and healthier probably than it's been in a number of years.
Mike Walkley - Canaccord Genuity: Great. Thanks. One more question for me, if I could. On just the MDT-7 or the Android-based mobile data terminal, can you discuss the interaction with customers? You have talked about creating some new opportunities. Is this creating whole new product categories as you interact with customers? Or is it strong demand on this initial product and the apps that might come down the road?
Michael Burdiek: Well, actually both. This tablet and the Appstore concept resonates with a number of different people and in fact in some potentially new and interesting verticals. The world, from a mobile worker perspective, wants to have a device that relies on an open standard for cost-effectiveness and obviously is open to a rich ecosystem of content providers, but they don't want it to be part of the wild, wild west like experience with people going out and trying to sort out application content in Google Play over a night. So we see a lot of interest from what we would term nontraditional customer.
Mike Walkley - Canaccord Genuity: Great. Thank you.
Michael Burdiek: You are welcome.
Operator: Thank you. We have no further questions in queue at this time. I would like to return the floor back over to Mr. Burdiek for any closing remarks.
Michael Burdiek: Thanks again for joining us today. We look forward to speaking with you again at the end of our third quarter.